Operator: Good day, everyone, and welcome to the Charge Enterprises Second Quarter 2023 Financial Results Webcast. I am Matthew. I will be the operator for today’s webcast. Today’s webcast is being broadcast over the Internet and is also recorded for playback purposes. After the speaker’s remarks, there will be a previously solicited question-and-answer session. For opening remarks and introductions, I would like to turn today’s webcast over to Vice President, Investor Relations with Charge Enterprises, Christine Cannella. Please go ahead, Ms. Cannella.
Christine Cannella: Thank you, Matthew. Good morning, everyone. I am Christine Cannella, Vice President of Investor Relations with Charge Enterprises. Welcome to Charge Enterprises second quarter 2023 financial results webcast. You will find our press release and our 10-Q, along with a copy of today’s slide presentation on the Investors section of our website at www.charge.enterprises.com. If you are following along today with our earnings presentation, please turn to slide two. Joining me for today’s discussion are Andrew Fox, Founder, Chairman, and CEO; and Leah Schweller, Chief Financial Officer. Andrew will give a review of our key business highlights from the quarter, Leah will then walk you through a review of our financial performance and then we will answer your questions. We are conducting a moderated Q&A session, answering questions previously submitted. We thank you for your questions. Moving on to slide three. We would like to remind you that much of the information we will be speaking to you about today, includes the answers we give in response to questions, may include forward-looking statements within the provisions of the federal security Safe Harbor law.  In today’s press release and in our SEC filings, we detail material risks and uncertainties, many of which are beyond our control and could cause actual results to differ materially from our expectations. These forward-looking statements apply as of today and we undertake no obligation to update these statements after the call.  For a more detailed description of certain factors that could cause actual results to differ, please refer to our Form 10-Q filed with the SEC and our earnings release posted on our website and filed with the SEC on Form 8-K.  Please note that our press release and our webcast today include non-GAAP financial measures. Reconciliations of these non-GAAP financial measures are set forth in the press release we issued today and the slide presentation with today’s webcast, which are provided on the company’s website. With that, I am pleased to turn today’s webcast over to Andrew.
Andrew Fox: Thank you, Christine, and thank you all for joining us today. In addition to reviewing the highlights from the second quarter of 2023, we'll spend some time discussing our strategic roadmap, the progress we are achieving across our multiple business lines, and the recent acquisition of Greenspeed Solution.  I'm pleased to report another strong execution quarter for our infrastructure segment, posting second quarter revenue of $30 million, up 18% from the comparable period in 2022. We continue to benefit from strong underlying trends in our EV charging and electrical infrastructure business. Leah will expand on our telecommunications segment in her comments. Moving on to our backlog. We are pleased to report our second consecutive quarter of record backlog for our infrastructure segment. Our backlog now stands at approximately $138 million at the end of second quarter, an increase of 43% year-over-year. The increase in our EV charging infrastructure business is particularly noteworthy, representing over 28% of our total backlog at the end of the second quarter. This is a testament to our remarkable work from our employees and a signal of the momentum in our EV infrastructure business as we look to the remainder of 2023 and into 2024.  Beneath the top line results, we are very focused on our path to profitability by improving our gross margins, optimizing our operations, and carefully managing our operating expenses while making the necessary investments to ensure we deliver on our commitments to our customers.  We will focus on three key factors to get us where we need to be next year; scale, gross margin expansion, and management of operating expenses. We believe growth in our EV charging infrastructure business will play a leading role in transitioning us to a profitable company. As such, scaling any business is challenging, but growth is critical, and we've begun to establish our brand and build a business that we believe is well positioned in this enormous market. As we've shared on previous earnings calls, our initial strategic focus for EV our charging infrastructure business is on the automotive retail industry, which today encompasses some 18,000 franchise dealerships. Many of these dealerships have received mandates from their respective OEMs to prepare for the transition to EVs by installing charging infrastructure.  As previously communicated, our goal has been to engage with 1,000 dealerships by the end of 2025. Through the end of the second quarter, not including a recently announced acquisition of Greenspeed, we have engaged with approximately 20% of our targeted goal. In addition, we are encouraged by the increased interest from our broadband customers and our remote monitoring and maintenance software tool, Peel-It, also known as Peel-It.com. Our goal is to build this brand and offer it to our broader base of customers.  We've also stated our desire to grow through acquisition, especially in the EV charging category. We are successfully executing this commitment with our recently announced acquisition of Greenspeed Energy Solutions, a leading provider of sustainable energy solutions in the electrical EV charging infrastructure, solar and energy storage industries.  Their focus and execution have led to successful completion of over 200 EV electrification projects across 14 states. Before discussing some of the strategic rationale and benefits of combining the strengths of CI with those of Greenspeed, I will touch upon the terms of the acquisition and the financial expectations.  Charge acquired Greenspeed for a purchase price of up to $15 million, net of closing adjustments, which includes $6 million in cash and $2 million of charged common stock, along with the potential earn out payments of up to $7 million in total cash, contingent upon achieving certain EBITDA milestones for each of the two years following closing of the transaction. As to the financial impact, we expect this transaction to be accretive to both gross margin and EBITDA in the first full year of ownership.  In order to provide an understanding of the benefit of acquiring Greenspeed and how it supports the scaling of our EV infrastructure business, let's take a deeper dive into the combined EV charging infrastructure, Greenspeed business in terms of geography, backlog, customer engagements, and other relevant operating metrics. With little overlap in customer base, Charge will gain a broader geographic presence by integrating Greenspeed's established operations across the Mid-Atlantic and Southeast regions. Greenspeed has successfully completed over 200 EV electrification projects across 14 states. Their success and scale, when combined with our operation, creates exciting opportunities to enter new geographies and generate revenues through a broader set of customer segments, cross-selling and incremental product offering. The combined companies have the capability to now self-perform EV charging infrastructure work in 25 states and have installed approximately 600 total charging stations to-date. Of those, 410 are Level 2, with the remaining 190 being DC fast charging stations.  In addition to these charging stations, both Greenspeed and Charge have installed infrastructure to accommodate additional chargers that our customers may purchase in the near future. Our primary focus is delivering top-notch customer service, ensuring that we cater to all our customers' EV charging infrastructure requirements, both now and in the future.  With the acquisition of Greenspeed, we've added approximately $12 million in backlog as of June 30, 2023. We are excited about combining our EV businesses to both increase revenue and backlog of our infrastructure segment at a faster rate.  Strategically, we believe the acquisition accelerates our business transformation with the goal of expanding the percentage of revenue from infrastructure and better positioning the company for growth and margin expansion.  These combined metrics help us illustrate the scale of our business today. We believe the addition of Greenspeed's experienced management, engineers and salespeople, along with their expertise in construction and electrical fields, gives us the added resource and capability to rapidly grow our market share within the retail dealership ecosystem.  Greenspeed has 40 full-time members, and when combined with Charge, we will now have 425 team members, of which a significant number are field personnel consisting of engineers, project managers, foremen and electricians actively working in the field.  We are also excited about the opportunity to participate more aggressively in other verticals where EV infrastructure is also growing rapidly. Greenspeed serves as an installer for Georgia Power, a utility company, and also for the city of Brookhaven, Georgia, a suburb of Atlanta, showcasing their involvement beyond just dealerships. Both Charge and Greenspeed are actively pursuing opportunities outside the retail dealership channel, with business development underway in fleets, churches, multifamily and commercial office spaces.  Many of these customer categories present opportunities to build a reoccurring revenue stream. Today, when Greenspeed installs a charger, they offer their customers the capability of a subscription-based consumer payment solution, facilitating charging as a service. Although the financial impact of this initiative is yet to be realized, and our focus lies on the future potential to capture reoccurring revenues. This objective will be achieved through the seamless integration of our operations and our software capabilities.  I will end my remarks with a few comments on the after-sales opportunity of our combined teams plan to pursue across customer segments. The revenue opportunity in customer relations does not end with the installation of a charger. We believe that's just the beginning.  Services and support should follow closely behind the installation and transform deals from one-off purchases into multi-year contracts with various upselling and cross-selling opportunities. As we work through the integration of the EV charging infrastructure and Greenspeed's business, we plan to share more about the strategy and opportunities in the coming quarters.  Now, I'd like to turn today's webcast over to Leah, to go over our financial performance. 
Leah Schweller : Thank you, Andrew, and good morning everyone. Today I will walk you through our financial results, including our key financial measures, which are revenue, gross profit and adjusted EBITDA on a consolidated and a segment basis. Let's begin on slide six, charge revenues and gross profit quarterly trend. In the second quarter of 2023, revenues were $147.6 million, reflecting a decrease compared to the same period last year and compared to the previous five quarters. Our infrastructure segment increased 18% to $30 million in revenues compared to the prior year period. The telecommunications segment experienced a 24% year-over-year decline, resulting in $117.6 million in revenues. The decline in telecommunications is consistent with our comments in previous quarters, where we anticipated downward pressure on revenue due to a decrease in wholesale voice volume.  You may recall, earlier this year we proactively implemented a strategy to mitigate the decline in revenue and protect gross profit growth in our telecommunications segment. We introduced strategic partnerships focused on SMS two-factor authentication technology, which carries a higher margin. Over time, we anticipate our shift to SMS will contribute to the improvement of gross margins within telecommunications.  Gross profit grew 23% to $7.7 million versus $6.3 million during the same period last year, primarily driven by continued revenue growth in our infrastructure segment. Consolidated gross margin for the second quarter of 2023 was 5.2% compared to the prior year period of 3.5%. The increase was driven by higher gross margin in both of our business segments, as well as an increasing proportion of revenues coming from our higher margin infrastructure segment. Infrastructure gross margin increased to 22.8% in the second quarter, up from the 20.4% in the prior year period. The increase in gross margin was primarily driven by higher overall margin in our BW business, highlighting their success in winning bids and effectively managing costs, leading to increased profitability.  Partially offsetting the increase with lower gross margin in our ANS business, due to competitive bidding pressure as a result of lower CapEx spend by the major broadband carriers, which we discussed during our first quarter 2023 earnings webcast.  You may recall the third quarter of 2022 was marked by gross margin challenges attributed to inflationary pressures on labor and material costs. The first half of this year, we have seen a stabilization in labor and material costs, providing a more favorable environment.  Additionally, we experienced slightly lower gross margins in our EV charging infrastructure business compared to our future expectations. This can be attributed to our current project portfolio being weighted towards the early phases of implementation, which carry a lower gross margin. However, it is important to remember that our objective is to enhance margins over time. We plan to achieve this by scaling up our EV charging installation business, integrating monitoring and maintenance services, and expanding into additional channels and product offerings. Telecommunications gross margin was fairly stable at 0.8%, with a slight increase compared to the prior year period. Looking ahead, we expect to further enhance the gross profit profile of this segment as we grow the SMS volume.  Turning to slide seven, we will discuss the infrastructure segment's revenues and backlog trends. During the second quarter, infrastructure's revenues increased by 18% compared to the same period last year, reaching $30 million. The growth can be attributed to the progress within our BW and EV charging infrastructure businesses, both year-over-year and sequentially. The reduction in CapEx spend by several major broadband carriers had a negative impact on ANS's revenue in the second quarter. However, management remains pleased with the recent job wins by ANS.  Infrastructure's growth trajectory is on the right path. In the future, we aim to capitalize on new customer segments, explore cross-selling opportunities, expand our monitoring and maintenance services, and drive synergies with our newest subsidiary, Greenspeed.  Within our infrastructure segment, we report the remaining project revenue to be completed in the future as backlog. Backlog levels can fluctuate quarter-to-quarter based on seasonality and completion or booking of large, longer-term projects, specifically within BW, as the duration of its projects can last up to 24 months.  As we announced a few weeks ago, we reported our second consecutive quarter of strong backlog, totaling approximately $138 million at the end of the second quarter of 2023. Our EV charging infrastructure business accounted for 28% of this figure, showing significant growth compared to the second quarter of last year when the EV backlog was minimal. We anticipate earning just under half of the $138 million backlog within revenues in 2023 and most of the remaining in 2024.  As you can see, our backlog continues to grow steadily while all of our subsidiaries excel in winning bids. A notable example during the second quarter was our BW business, securing five projects worth approximately $40 million, anchored by a $20 million courthouse project in New Jersey.  By acquiring Greenspeed, we obtained approximately $12 million in project backlog, adding to our existing $138 million backlog for infrastructure. Greenspeed is poised to make a substantial difference for us as it grants us the ability to self-perform on our backlog, doing much of the work in-house.  Let's move to slide eight to discuss adjusted EBITDA. We focus on adjusted EBITDA as the closest measure of our true operating performance. For the second quarter, adjusted EBITDA loss was $2.3 million, compared with adjusted EBITDA loss of $1.6 million in the prior year period.  During the second quarter, our infrastructure segment's adjusted EBITDA decreased year-over-year, primarily due to investments made to drive future growth. However, we did experience sequential improvements compared to the first quarter of 2023, which is typical as our ANS broadband business often experiences a seasonal decline during that period.  Adjusted EBITDA in our telecommunications segment increased sequentially, but dropped year-over-year, in part due to strategic investments made in SMS text capabilities. As I mentioned earlier, these forward-looking investments were made to bolster future SMS revenue and more importantly, to drive higher gross margins.  Within corporate, adjusted EBITDA loss increased during the second quarter sequentially and year-over-year. We drove expense reductions, as we said we would do in our first quarter 2023 earnings call, within consulting, recruiting and professional fees. However, we also green-lighted certain strategic investments, primarily within marketing, that offset these savings.  We will continue to reduce costs where possible in order to create capacity for critical and timely spending when required. As we enter the second half of 2023, we affirm our expectation to achieve positive adjusted EBITDA in the first quarter of 2024.  Turning to slide nine. Looking at the full P&L for the quarter, we saw strong growth in gross profit and gross margin. Operating expenses have come down due to lower stock compensation year-over-year, offset by increases in G&A and salaries and benefits, which reflect our investments in marketing, people, processes and capabilities to foster growth across all our businesses and support the corporate structure. We finished the second quarter with $61.7 million of cash in cash equivalents and marketable securities, most of which is encumbered and used for operations.  Referring back to Andrew's earlier discussion, our foremost strategic focus lies in building scale, achieving gross margin expansion, and positive adjusted EBITDA, all while maintaining prudent control over expenses. We believe the growth in our EV charging infrastructure business will play a pivotal role in transitioning us into a profitable company. As such, we will continue to evaluate strategic investments to fuel and build our EV charging infrastructure business. Before I turn today's webcast back to Andrew, I wish to take a moment to express our collective excitement in extending a warm welcome to the Greenspeed team as they become an integral part of the Charge family. This acquisition marks a significant milestone in our ongoing journey to not only expand, but also solidify our position within the EV charging infrastructure industry. Andrew. 
Andrew Fox : Thank you, Leah, and to the entire Charge family for your dedication and hard work. The long-term fundamentals of the markets we operate in continue to be overwhelmingly positive. EV adoption continues to gain traction as the demand increases and production ramps up. We expect that the demand for infrastructure required to support all these trends will need to grow rapidly over the next decade.  At Charge, we believe that we have the right strategic focus and roadmap to capture significant market share in the retail dealership space and the necessary capabilities and assets to expand into other verticals.  The acquisition of Greenspeed positions us well to achieve these goals and further solidifies the company's unwavering dedication to establishing itself as a frontrunner among the EV charging infrastructure companies.  I'll conclude with a few statements from PwC's industry analysis that we think supports our infrastructure strategy and why we're so excited about the potential growth. The number of Charge points in the U.S. is expected to grow from about 4 million today to an estimated 35 million by 2030. Number two, the EV SE market could grow from 7 billion today to 30 billion by 2030. And number three, the number of EVs in the U.S. is estimated to hit 27 million by 2030.  These market growth expectations are impressive, and we believe the major auto OEMs recognize a need to do more to accelerate the EV transition. A great example of this is the recent announcement by seven major automakers to nearly double the number of fast chargers in the United States in an effort to address one of the main reasons people hesitate to buy electric cars.  These automakers, where we perform work for their financial franchise dealerships, BMW, General Motors, Hyundai, Kia, Mercedes, Benz, and Stellantis, will invest in a joint venture that will build 30,000 fast charging ports on major highways and other locations in the U.S. and Canada. We are excited to see these OEMs beyond Tesla taking proactive steps to address the critical need for charging infrastructure to power their electric vehicles. The initiative is a significant tailwind for our industry and for our customers.  While we do not have a direct role in this joint venture, we believe Charge is well positioned with its expanded capabilities to better enable this transition for the major auto OEMs, many of whom have dealerships that are our largest customers.  This is a massive market with extraordinary growth potential, and we plan on meaningfully building our market share over the coming years. I want to thank our team for their hard work in helping deliver on our commitments to our investors, partners and customers.  Operator, we are ready for the Q&A. 
Operator: [Operator Instructions]. Our first set of questions comes from Pavel Molchanov with Raymond James. 
Pavel Molchanov: You reported that EV projects comprised 28% of the infrastructure backlog. Can you share what the percentage was and the quarterly revenue? 
Leah Schweller: Pavel, you are correct. Within our infrastructure backlog, the EV charging business accounted for 28% of the approximately $138 million in backlog. Although we're not disclosing the disaggregation of revenue between our subsidiaries at present, we anticipate earning approximately 99% of this backlog within revenues over the course of 2023 and 2024, with just a little under half in 2023.
Pavel Molchanov: As North America Charging Standard and Combined Charging System are fighting what amounts to a format war, what are your thoughts about that? 
Andrew Fox: Good morning, Pavel. I see the North American Charging Standard, NACS, as a game changer in the EV world. The idea is to create a universal charging standard, making it easier and more convenient for EV drivers. The main thing the OEMs are agreeing on, is the lack of EV infrastructure across the United States. I've said it numerous times, this is a real issue. This is why we created Charge Enterprises, an initiative dedicated to providing a viable solution.  To encourage more people to shift to EVs, charging needs to be easy and accessible as filling up a tank of gas. Range anxiety is a genuine concern for many potential EV buyers. With a universal charging connector, you'll be much faster to charge an electric vehicle. The convenience of having a universal standard means you won't have to worry about finding a compatible charging station.  I believe this will ease range anxiety and make electric cars more appealing to a broader audience. And remember, our EV charging infrastructure business is equipment and software agnostic, a feature that sets us apart from many of our competitors.  We've already accomplished successful projects utilizing a diverse range of charging equipment and operating software. As a result, we're uniquely positioned to thrive amid any surge in EV charging demand. Rest assured, our adaptable approach allows us to benefit from any escalation in the EV charging activity. 
Pavel Molchanov: Companies such as Voltera are starting to offer EV charging infrastructure as a service. In other words, putting assets on the balance sheet. Do you have any appetite for that business model? 
Andrew Fox: Until charging stations reach a utilization level of 25% to 30%, economics in business case of actually owning the charging station is still questionable. It's just too early in the game.  I'd like to highlight Greenspeed, who offers software solutions, maintenance and warranties. Their services are primarily managed in-house. It's a white-label SaaS mobile app facilitating maintenance, monitoring, and even payment for charging purchases. Again, this is early in the game for us, but this is an example of planning for future revenue streams when their customers are ready.  So it's not a financial impact today, but we're planning for the future, so when our customers are ready to open their charging stations to the public, they are ready. 
Operator: We will now move to questions submitted by Amit Dayal with H.C. Wainwright. 
Amit Dayal : We are looking for trends in the install activity for the company and if it aligns with general industry trends. If management can share color on any catalyst or strategic decisions that could allow it to outpace the industry, it would be helpful. 
Andrew Fox: Hello, Amit. As you're aware of the EV infrastructure side of things, we've been highly involved in the auto vertical for obvious reasons. Most franchise dealers are now mandated by their OEMs to initiate a Phase 1 infrastructure setup, with subsequent phases planned as the EV car market scales.  The follow on other verticals, including multi-unit housing, office complexes, big box retail outlets, retail spaces, QSRs, stadium parking lot depots, is generating substantial interest making this investment, and we are actively involved in discussions with many of these entities as they explore the potential timing for their involvement. 
Amit Dayal : Can you provide an outlook on margin expectations? 
Leah Schweller: We are pleased with the infrastructure margins today, but are working to increase them over time as we add maintenance and monitoring, enter into new customer segments, and integrate Greenspeed. Greenspeed increases our footprint and will help us reduce the use of subcontractors, which we believe will enhance our margins.  We are actively working to enhance margins in the telecommunications segment by adding more SMS volume. We are laying the groundwork for both capabilities and sales teams, while also leveraging our valuable industry relationships. While our goal is to continually grow our segment margins, we are not providing that specific guidance at this time. 
Amit Dayal : Any change in CapEx expectations from the large telecom customers and impact from that on the business? 
Leah Schweller: Yes, as I mentioned, the major broadband carriers have indeed reduced their CapEx in 2023, which did have an impact on our ANS subsidiaries revenues in the second quarter. However, despite the decrease in their spending, we have managed to secure projects and win jobs, demonstrating our competitiveness in the market.  While the overall pie may be smaller due to reduced industry investments, we are still obtaining a significant share of the jobs, and our ability to secure projects showcases our resilience in navigating the current market conditions. 
Amit Dayal : The next question comes from Chris Pierce from Needham. 
Chris Pierce : We've been hearing about slowing EV sales from legacy OEMs, or at least we can infer this when looking at Ford F-150 Lightning price cuts. How does this affect dealer willingness to spend CapEx on EV charging infrastructure? 
Andrew Fox: Hey Chris, I don't see it that way. EV sales have not slowed. Automakers are stepping up their game, producing an impressive array of electric cars and trucks, posting a significant number of new models arriving in showrooms just this year.  In addition, the entire industry, both EV and ICE vehicle industries garnered extremely high prices due to supply challenges during COVID environment. Also, in many cases, the $7,500 tax credit has been fully utilized and is no longer available. While EV prices are expected to eventually normalize in the market, OEMs are spurring demand. The trend is being exemplified by companies such as Tesla and the example you shared with the Ford Lightning. However, there's a crucial missing piece, customers.  For this electric evolution to succeed, we need to see a surge in demand for EVs. Otherwise, we might find unsold vehicles starting to accumulate, which is why I appreciate Ford's strategy of offering more affordable models like the Ford Lightning.  Chris, auto dealers play a crucial role in the transition to electric vehicles, and their optimism and excitement for the changing landscape are evident. In addition, the addition of more and improved public EV charging infrastructure addresses a significant customer concern, range anxiety. Making EVs more affordable and tackling EV charging infrastructure, as we observe major OEMs doing, undoubtedly plays to our strengths. 
Operator: We will now go to questions sent in by Tate Sullivan with Maxim. 
Tate Sullivan : Is working on the installation of fast-charging stations along travel corridors an opportunity for charge enterprises, particularly after seven automakers announced on July 26 a plan to build new U.S. EV fast-charging network? 
Andrew Fox: Hello, Tate. Absolutely. We are eager to support major U.S. OEMs in their efforts to address the crucial need for charging infrastructure for electric vehicles. As a leading EV charging infrastructure company, we look forward to playing a pivotal role in enabling this transition, especially given our recent acquisition of Greenspeed, which has added expertise and scale, further positioning us to provide solutions for the major auto OEMs, many of whom have dealerships who are our largest clients. Our EV charging infrastructure leadership team has been built around a series of auto industry veterans that have deep relationships and an understanding of the major auto OEMs. We look forward to continuing to build upon those relationships as we look to play a role in servicing the industry. 
Tate Sullivan : Will some dealerships that plan to sell EVs in the next year or two years receive funding from large car companies to install EV charging infrastructure, or do dealers need to fund EV charging infrastructure? 
Andrew Fox: While many automotive OEMs are now requiring their dealerships to install charging stations if they want to sell battery electric vehicles, they are not providing the funding for the mandates. Consequently, the dealers need to make the investment. This includes investment in electrical wiring systems, transformer upgrades, various charging stations, including level two and three, fast chargers, as well as battery storage units.  This is where Charge excels. We've assembled a skilled team of auto industry experts and have established a long foundation of EV charging infrastructure business. Our high-touch, multi-phase approach offers a comprehensive solution to our customers, many of which are franchise auto dealerships. Currently, our EV charging infrastructure business collaborates with dealerships that represent several major automotive OEM brands. 
Tate Sullivan : Can you provide some examples of CRGE Electricians fixing EV charging installations that other electricians have installed? 
Andrew Fox: Yes, we've been called upon to rectify issues where others couldn't get the job done. The problem ranged from poorly designed charging station layouts and improper wiring to inadequate preparation for the extra strain on the electrical system. 
Operator: Ladies and gentlemen, this concludes the question-and-answer portion of today's webcast. At this time, I'll turn today's webcast back to Andrew Fox for closing remarks. 
Andrew Fox : Thank you for participating in today's call. We look forward to your continued support. Operator. 
Operator: Ladies and gentlemen, that will conclude Charge Enterprises’ second quarter 2023 financial results webcast. We wish you a great day. Goodbye.